Operator: Good day, and welcome to the Solaris Energy Infrastructure Fourth Quarter and Full Year 2024 Earnings Teleconference and webcast. All participants will be in listen-only mode. Should you need assistance, please signal a conference specialist by pressing the star key followed by zero. For today's presentation, there will be an opportunity to ask questions. To ask a question, you may press star then one on your telephone keypad. Please note this event is being recorded. I would now like to turn the conference over to Yvonne Fletcher, Senior Vice President and Finance and Investor Relations. Please go ahead.
Yvonne Fletcher: Thank you, operator. Good morning, and welcome to the Solaris Energy Infrastructure Inc. fourth quarter 2024 earnings conference call. Joining us today are our Chairman and CEO, Bill Zartler, and our President and CFO, Kyle Ramachandran. Before we begin, I'd like to remind you of our standard cautionary remarks regarding the forward-looking nature of some of the statements that we will make today. Such forward-looking statements may include comments regarding future financial results and reflect a number of known and unknown risks. Please refer to our press release issued yesterday along with other recent public filings with the Securities and Exchange Commission that outline those risks. I would also like to point out that our earnings release and today's conference call will contain discussion of non-GAAP financial measures, which we believe can be useful in evaluating our performance. The presentation of this additional information should not be considered in isolation or as a substitute for results prepared in accordance with GAAP. Reconciliations to comparable GAAP measures are available in our earnings release which is posted in the news section on our website. I'll now turn the call over to our Chairman and CEO, Bill Zartler.
Bill Zartler: Thank you, Yvonne, and thank you everyone for joining us this morning. 2024 was a tremendous year of transformation for Solaris Energy Infrastructure Inc. We generated strong free cash flow in our legacy Solaris Logistics Solution business and found a great opportunity to reinvest that cash into the acquisition and subsequent growth of a mobile power generation business, which is now Solaris Power Solutions. I'll start this morning by giving you an update on our power solution strategy, including the latest power generation capacity order and long-term customer contract that we've now announced last night in our earnings release. We're only six months into our journey of building a premier behind-the-meter power as a service company, and our team has done an incredible job executing on this strategy. Our power solutions fleet began with just over 150 megawatts of generation assets. Last quarter, after executing on a series of orders and several multiyear customer contracts, we're on a path to grow to around 700 megawatts by early 2026. Last night, we announced the next leg of growth for the power fleet. We recently placed a new order for an additional 700 megawatts that doubles our fleet size to approximately 1,400 megawatts or 1.4 gigawatts by early 2027. We believe this additional capacity will allow us to service growth with our current customer base and add new customers. Speaking of supporting customers, last night, we also announced a strategic long-term partnership with one of our current customers that includes a contract for a minimum of approximately 500 megawatts with an initial term of six years for a new data center. We're also finalizing the formation of a joint venture with this customer on the power plant equipment supporting the new data center. Kyle will provide more detail on the structure of this partnership later. We believe this latest picture and joint ownership agreement is indicative of the evolving nature and importance of the market for behind-the-meter power as well as a strong testament to Solaris' high-quality value proposition. We're excited about the continued momentum we observe for Solaris Power Solutions. Today's power applications are getting larger and more numerous, coupled with customers recognizing the longer-term nature of their requirements that has driven this nearly tenfold increase of our business to 1.4 gigawatts. A single data center today can require well over a gigawatt of power, and some oilfield and other microgrids are approaching 100 megawatts in power demand. Integrated behind-the-meter power solution is well suited to satisfy those needs. The growing need for power is being driven by the electrification of everything, the domestic reshoring of manufacturing, and the growing quantity and scale of data centers. Demand for power has outpaced investment in infrastructure, creating a significant opportunity for our power solution segment. This has resulted in extended grid interconnection wait times, in turn driving a greater need for bridge and permanent behind-the-meter long-term power solutions, which we are well positioned to supply. For many customers, that bridge time frame is extending, thus behind-the-meter power is evolving toward more permanent power, which will supplement the grid by helping manage complex loads, provide redundancy, and potentially even improve grid resilience. The notion of bring your own power is becoming a requirement for many industrial applications. We define this total offering as power as a service, which for Solaris reflects our business model whereby we provide both behind-the-meter power generation and distribution services into our customers' specific applications, which are becoming increasingly complex and require 24/7 operation and oversight. Power as a service also means we're filling the role of the electricity provider for our customers, which requires combining reliability and agility, compelling economics, and emissions profiles. Delivering reliable power as a service starts with a culture of collaboration and creative problem-solving, led by the right team and supported with the right equipment. This proven framework has been the cornerstone of our logistics business, and now we're applying the same principles to build our power business. Our power solutions business is guided by its founders, who are not only steering operations but also mentoring the next level of talent. As recognized industry leaders, both bring extensive expertise in designing, installing, and managing electrical infrastructure. We also recently added Max Luigheir to our Board. Max is a former Chairman of the Texas Public Utilities Commission and a former ERCOT board member. Max spent much of his career developing power and other power and natural gas-related infrastructure projects both in the U.S. and internationally, and he brings to us an invaluable perspective on the power markets. As we continue to integrate, our teams are creating operational synergies. We've repositioned several groups such as engineering, internal manufacturing, and information technology to service both power and logistics. We're also cross-pollinating the power solutions field team with talent from our Logistics Solutions business. Being reliable, agile, and cost-competitive also means we need to have the right equipment to optimize each customer's application. Today, our fleet is standardized around medium-sized gas-fired turbines ranging in size from 5 megawatts to 38 megawatts. These block sizes provide flexibility to design tailored power solutions for the customers' needs and operating parameters. This also allows us to effectively scale with our customers' power needs in all phases, while we retain the ability to move power around the site as customer needs dictate. Our turbines offer substantial power density, so they're well suited for larger projects, including those requiring gigawatts of power demand. A portion of our recent equipment orders are purpose-built modular systems that offer enhanced fuel efficiency and additional state-of-the-art emissions control systems. I mentioned earlier that we're observing an evolving need to have behind-the-meter power on location for extended periods of time. In a few of those cases, to the extent required, we're helping our customers develop emissions permits to allow behind-the-meter gas-fired turbines to operate on a multiyear basis. The majority of the turbines in our fleet are built on a technology that produces the lowest NOx emissions available in the turbine market. This advantageous starting point helps us make the addition of emission controls economic for our customers and enables us to help drive a best-in-class emissions profile. We continue to build our asset and contract portfolio with a focus on opportunities where we can provide power on a multiyear contract. As we build our fleet, we'll be able to service a wider range of customers. This could include providing power for other data centers, other commercial and industrial facilities, oil and gas production in midstream, and possibly also having a smaller portion available for short and medium-term power needs such as emergency power or shorter-term grid delays that provide attractive returns. We plan to remain disciplined in our deployment and expect attractive returns on our capital over time. Turning to Solaris Logistics, we're seeing a significant increase in our activity in Q1. We expect at least a 15% sequential increase in fully utilized systems despite a relatively flat outlook for overall oil and gas completions. The increase in Solaris Logistics activity is being driven by the continued adoption of our new technology and market share gains. We believe this reflects the excellent job our logistics team has done in winning work with new and existing customers and the unwavering service they provide for our customers. Over the past few years, we've developed additional equipment to complement our sand silos systems on each well site that increase trucking efficiency. Going into the first quarter, we expect closer to 75% of our site staff to have multiple swimwear systems, and we are effectively sold out of our topmost solution. The financial impacts to Solaris accounting two systems on location a near doubling of the earnings potential per location we expect to materialize over the coming couple of quarters. Last night, we also announced that our board has approved Solaris' 26th consecutive dividend of $0.12 per share for both A and B class shareholders. Fundamentally, both of our businesses are cash generative, and we believe that continues to support our long history of returning cash to shareholders, putting us in a unique position to both grow shareholder returns and invest in growth. We are excited about the results for both business segments, the continued momentum we are seeing in the Solaris Power Solutions segment, and the exceptional team and innovative culture we continue to build. We are focused on maximizing shareholder value through growing the company and maintaining our dividend without sacrificing the strong financial profile of our business. With that, I will turn it over to Kyle.
Kyle Ramachandran: Thanks, Bill, and good morning, everyone. I'll begin this morning by providing additional details on our updated order book, the associated growth capital spending, and our latest results on finance. I also encourage you to refer to our earnings supplement slide deck, which was published last night on the Investor Relations section of our website under Events and Presentations. Our recent incremental 700 megawatt order effectively doubles our Grid fleet to 1,400 megawatts. Pro forma for all deliveries, approximately 90% of the resulting fleet will consist of 16.5 and 38 megawatt units, which we think results in a fleet that offers an attractive level of power density while still allowing us to be responsive to our customers' needs for scaling and flexibility. We expect to take deliveries under this latest order mostly over the course of 2026, with full effective deployment of our fleet in the first half of 2027. As Bill mentioned, we are excited about the long-term partnership we are forming with an existing hyperscaler. We've reached an agreement with this customer to provide a minimum of 500 megawatts for an initial tenure of six years for a new data center, and we are in the process of finalizing details of a joint venture arrangement with our customer to support this investment. This joint venture structure appeals to us for many reasons. It aligns our interest with those of our customers, it also demonstrates the long-term nature of the customer's commitment to behind-the-meter power given their desire to retain partial ownership in the asset, and lastly, it demonstrates the confidence they have in Solaris as a partner that has a proven ability to execute over the long term. Under the proposed structure, we would own 50.1% of the assets and would operate and manage the equipment on behalf of the JV. We expect that the partnership will pursue debt financing directly at the JV level to fund a significant portion of the purchase of the asset. For reporting purposes, we expect to consolidate the financial results of the full partnership with our customers' equity portion of earnings reported as noncontrolling interest. The impact of this partnership on our fleet will result in a net owned fleet of approximately 1,100 megawatts out of the total owned and operated fleet of 1,400 megawatts. Of this capacity, roughly 450 megawatts are available for future contracting with customers for deliveries beginning in the second half of 2026. The pace and trajectory of our ongoing commercial discussions give us confidence that we will contract the remaining capacity. The addition of the contract announced last night also helps to extend our average contract tenor. In a very short period of time, we have extended the term from approximately six months to four to five years on a blended basis, including this most recent contract at six years. Bill mentioned a few of the primary drivers behind accelerating contract tenure, including the extension of wait times for grid power as well as an evolution of strategy to include behind-the-meter power on a more permanent basis in certain applications as primary power. And we offer this solution at an all-in cost that is competitive with today's grid, which in our view has higher inflationary risk as compared to the structural behind-the-meter generation under a long-term contract. I'll now describe our earnings potential once the fleet is fully deployed. At full deployment, we expect the total company to generate $475 million to $500 million of adjusted EBITDA on a consolidated basis. Accounting for the contemplated joint venture structure, we expect adjusted EBITDA net to Solaris of approximately $400 million to $425 million. These estimates consider the current contract book and assume a three to four-year payback on the uncontracted equipment we have on order today. As we continue to work with our existing and potential customers to address their evolving power needs, we see the potential for our fleet to continue to grow in the future. We also see potential for growth beyond our generation capacity to include adjacencies, such as distribution and balance of plant equipment. Recent investment in emissions control equipment is an example where we have opportunities to continue growing our earnings per customer location. On a consolidated basis, the incremental orders should add approximately $600 million to our prior capital estimates, including allowance for balance of plant and emissions control technology. We expect the JV to reduce Solaris' capital requirements by approximately $215 million. We're currently in discussions with our term loan lenders, who are supportive of providing flexibility under the existing agreement to pursue our growth plans and have expressed support for potential additional future financing. Turning to a recap of our fourth quarter 2024 performance and our guidance expectations for the next two quarters. During the fourth quarter, Solaris generated total revenue of $96 million, which reflected a 28% increase from the prior quarter due to a full quarter contribution from Solaris Power Solutions as well as continued activity growth in Power. Adjusted EBITDA of $37 million represented a 68% increase from the prior quarter. Solaris Power Solutions contributed more than 50% of our adjusted EBITDA mix and is on track to contribute nearly 80% of our earnings after our on-order fleet is deployed. During the fourth quarter, we earned revenue on an average of approximately 260 megawatts in Solaris Power Solutions. For the first quarter of 2025, we are increasing our activity guidance as measured by average megawatts earning revenue by 20% to 360 megawatts. This increase is being driven by increased power demand from our customers, and we are meeting this demand by a combination of accelerated deliveries of our equipment orders and selective sourcing of third-party turbines. For the second quarter, we expect average megawatts on revenue to increase by 17% to approximately 420 megawatts. In our Solaris Logistics Solutions segment, we expect fully utilized systems to grow over 15% to approximately 90 to 95 systems and remain there for the first half of the year. We expect profit per system to return to third quarter 2024 levels as we demonstrate strong incremental profitability on the systems going back to work. For a corporate or unallocated expense impact to adjusted EBITDA, we expect approximately $9 million of expense in the first quarter due to the expected cash settlement of stock-based performance units granted in 2023 and 2024. We expect a more normal run rate expense of approximately $7 million in Q2. These items net to adjusted EBITDA between $44 million and $48 million in Q1 and adjusted EBITDA between $50 million and $55 million for Q2. For more detail on the guidance and other corporate modeling items such as interest expense, depreciation, amortization, tax rate, and share count to use for modeling purposes, please refer to our earnings supplement slide deck. As Bill mentioned, our Board recently approved the 26th consecutive dividend of $0.12 per share, which will be paid on March 21st to holders on record as of March 11, 2025. Considering our latest share count, this should equate to a little more than $8 million. Pro forma for the first quarter dividend payment, we will have returned $198 million to shareholders since we began our shareholder returns program in 2018. We are excited about the growing opportunities for Solaris in both of its business lines. We will remain focused on generating strong returns on capital invested as we continue to build our power solutions business while maintaining strong cash generation from our logistics business, shareholder return program via dividend, and attractive financial profile. With that, we'd be happy to take your questions.
Operator: We will now begin the question and answer session. And our first question will come from Stephen Gengaro with Seifel. Please go ahead.
Stephen Gengaro: Thanks. Good morning, everybody. I think my first question is just around sort of the opportunity. And, obviously, it's been a crazy six months to watch. But when we think about sort of the new relationship that you have created and kind of the opportunities out there and maybe kind of keeping the supply chain in mind, what could this look like two or three years out? Like, what's the vision from here internally?
Bill Zartler: Well, I think you hit the nail on the head when you said it's been a wild ride. We continue to ensure that we can execute kind of flawlessly as we grow this fast. So there's obviously, that's a key part of this, and we're watching the market. Obviously, there's a lot of talk, a lot of commercial activity going on around it, and we're balancing how fast we believe we can execute with a combination of having, you know, growing our team to the right level and having the right set of equipment supplies, both generation and distribution balance plant type equipment. So we're balancing those off as we look at new commercial opportunities, but there still is plenty of growth opportunities, you know, in the market as we look forward.
Stephen Gengaro: Okay. Thanks. And then my follow-up question was, and I think I have a sense for this from what you announced in the level of detail you guys provide is very helpful. When we think about the profitability per megawatt, we also think about on the other side, you know, the price that you're paying per megawatt. Has there been any, doesn't seem like it, but has there been any material change or trend there, you know, kind of given the demand outlook on one hand and given the supply chain constraints on the other?
Bill Zartler: I think the step change was about a year ago in some of the supply areas. I think we've seen it generally creep up, and we're obviously watching what happens with tariffs and how that impacts, you know, some of the supply chain. But it's not been material yet, and it's slowly creeping up. Yes. And I think that will get and the market will absorb those additional costs on how.
Kyle Ramachandran: Yeah. I think what I would add is the initial fleet in this business was all mobile in nature. It was on the axles and wheels, and that carries a slightly larger dollar per megawatt cost. And as we look at the equipment that we've just recently ordered, it is modular in nature and it's assembled on-site. It's not intended or its best-case use isn't to be moved as frequently as an asset sitting on wheels would be. And so I think that the read-through is we can be a little bit more competitive from a dollar per megawatt capital cost as we transition it to equipment that's meant to stay on a location for a much longer period of time. So when we look at the six-year contract, equipment that we're pairing that with is larger in nature, in terms of megawatts per unit. And with that, we're also driving some efficiencies on the heat rate nature of that equipment and the all-in total cost of ownership for our customer by effectively being more efficient. So I think there are some puts and takes. Certainly, you know, we're keeping a close eye on supply chain inputs such as tariffs as Bill alluded to. But we're also doing some things from a purchase decision which is being fed somewhat by the market that's driving longer duration behind-the-meter solutions that can take a slightly different looking piece of capital.
Stephen Gengaro: Got it. No. Great. That's good color. Thank you.
Operator: And our next question will come from Derek Podgheiser with Piper Sandler. Please go ahead.
Derek Podgheiser: Hey, good morning everyone and congrats on all the announcements. I just wanted to talk about, you know, obviously, the six-year contracts, the testament to your solution offering. You talk about power as a service providing that reliable power. Can you maybe put into context and maybe educate us in the market on the complexity required to power these generative AI data centers? You know, plus the cost of the power as a service relative to the overall cost of the data center. I'm just trying to help alleviate concerns of a, you know, future power pricing war as more megawatts enter the market with new players. Just maybe some help around in context around that.
Kyle Ramachandran: I think, you know, first and foremost, we alluded to it in our call around the prepared remarks. Our solution today is very competitive with the real competition, which is the grid. You know, we are not saddled with the inflationary pressure of bringing the grid into the, you know, the current sort of twenty-first century. We are looking at a structure where our customers can have clear visibility into the cost of the equipment for long duration, and the only sort of input they've really got to manage is on the fuel side. So natural gas prices. So I think, you know, our customers see our solution as having more sustainability, more consistent view of what the total cost of ownership relative to a grid that we expect to see significant inflationary pressure. I think that's sort of how we've contextualized.
Bill Zartler: And adding to that would be that the effective backup nature of having this equipment right next to your building versus having to rely on the utility. So I think there's an embedded if you're going to build one of these in Wyoming, you're going to spend a lot of capital and money designing a backup system. Here, you have quite a bit of that embedded in the direct biometric power. And I think the third piece of that would be just the nature of this.
Kyle Ramachandran: You know, we today, our fleet is obviously pretty heavily weighted towards the data center world. But, you know, when we look at the themes of reshoring manufacturing and just industrial growth in general here in the US, there are many end markets that are likely to be short power. And so this is a very large secular theme that's not predicated on just simply one macro.
Derek Podgheiser: Right. That makes sense. And I guess that leads into my next question kind of around customer concentration risk with this, you know, key customer with the data center. Obviously, the multiyear contract and the JV de-risk that. But are you in conversations with other hyperscalers? I mean, should we expect to see a new data center contract with a different customer from you guys with this available megawatt capacity that you have starting, you know, the back half of next year?
Bill Zartler: We have numerous ongoing conversations powered as well as data centers. And so, you know, which one of those ends up with a piece of the power, the next power, and there's potential expansions beyond that. But as we look at the world, it is data center driven on an increment, but I will tell you that we're having lots of conversations with heavy industrial type activities that need the power just as bad.
Derek Podgheiser: Got it. Very helpful. Alright. I'll turn it back. Thank you.
Operator: And the next question will come from Derek Whitfield with Texas Capital. Please go ahead.
Derek Whitfield: Good morning, Allen. Congrats on the quarter and your JV announcement.
Kyle Ramachandran: Thanks, Jared. I have two questions for you guys, and they're both related to your power solutions business. First, regarding the 450 megawatts of uncontracted capacity, how aggressively will you look to market that given the tightness in the market dynamics for behind-the-meter solutions?
Bill Zartler: I mean, we're in several active discussions, and I don't think there's a need to get overly impatient with it as we see it and as we're putting money down toward that acquisition that we're not out a lot of cash at this point relative to the timing of doing that. I think we'll see that evolve. And I think the core here is that it will more than likely be in a similar kind of tenure, if not longer, type contract. And I think that's where the market's evolving with this. And a piece of that order is mobile, and a piece of that order is modular.
Kyle Ramachandran: Yeah. The timing of it is, you know, twelve plus months out from a delivery standpoint. So a lot of time under the curve available.
Derek Whitfield: Terrific. And then on the second question, thinking about some of the announcements from majors, including Chevron and ExxonMobil, how important are lower emission solutions to your data center customers?
Bill Zartler: I think it's a mixed bag. I think if you look at what we're doing on the semi-permanent, if you will, power plants, we're adding and even stuff with longer-term. We have acquired and have a nice backlog of SCRs to go with this to drop the emissions profile to a very acceptable sub-two ppm level. And we start off even with the mobile versions of this solar equipment at a sub-nine peak with their solar NOx technology at a pretty low spot even in the shorter-term application. So I think we feel comfortable with the emissions profile of this at limit if the fairly state of the art relative to that, relative to the market.
Derek Whitfield: Great. Thanks for your time.
Operator: The next question will come from Jeff LeBlanc with TPH.
Jeff LeBlanc: I just wanted to ask around the dynamics of the order itself and how your relationship with the OEM did this. The quoted capacity of 38 megawatts seems to imply that it's solar's new offer. So also curious to see how much does this order represent of their largest capacity moving forward. Thank you.
Kyle Ramachandran: Yeah. We spent a lot of time with Solar in reviewing this product line. This is a new product for Solar. They have their first actually going to another data center in Texas with subsequent deployments with a couple of other customers. So we're not the first guinea pig out of the order here. But we are, I would suspect, the largest buyer of those units at this point in time. So that's a product that's got great visibility, and it's, you know, as I alluded to, it's got a superior heat rate to some of the other products on the market. It's incredibly robust, very dense in terms of footprint per megawatt. And so we're really excited about having that on this new data center. Our customer is really excited about it as well. And so we look forward to continuing to develop that relationship with Solar. We spent a lot of time with them and on the puts and takes of our sort of feedback around all of their equipment given the significantly sized relationship that we have here in this company, but there's also significant duration in the relationship that extends far beyond the history of Solaris being in the power space with the team that we brought in in the MER acquisition.
Jeff LeBlanc: Thanks for the color. I'll hand the call back to the operator.
Kyle Ramachandran: Thanks.
Operator: The next question will come from Thomas Merrick with Janney Montgomery Scott. Please go ahead.
Thomas Merrick: Good morning, gentlemen. Thanks for the time. A couple of questions for me. I'll start with what you're seeing on voltage variability, specifically on the chips. You know, I think everyone knows how highly variable that voltage can be. So I'm curious what you're doing to help customers deal with that from the power delivery standpoint, and just how that kind of fits into your company ethos of being a service provider and helping drive efficient operations. Then a few follow-ups after that.
Kyle Ramachandran: I think, you know, our job as a supplier is to get our customers with the best service they're looking for, and we work very closely with them dealing with things like new deployments of different types of chips in the technology, and I think that evolves in this period of working together with your customer resolving all those challenges and however they come up with, whether it's the combination of batteries or UPS's or how you run the equipment or how you back it up. But there isn't one particular solution to any of it, and I think that part of that business, our customer's business, isn't our business, but we're evolving how we make sure that it runs well and runs as reliably as possible. And that's an ongoing effort, and it's live.
Bill Zartler: And I think it speaks to the nature of the distinction that we continue to try and emphasize, which is this is power as a service, emphasis on the word service. Power is available in terms of folks with capital can go out and secure capacity, but delivering the solution with the service does take a significantly different business model with different competencies and different cultures. And, you know, we've got a great foundation in the Solaris logistics business, as far as the culture of reliability and performing for customers with equipment and service. And so this is just a natural extension for us with different challenges, and we've got a great problem-solving culture across the board.
Thomas Merrick: And then it's ERCOT has, you know, about 20 gigawatts of large load trying to interconnect by the summer of 2027, you know, according to the latest CDR. And I'm curious how you look at that bucket of load, you know, with respect to, you know, quote-unquote converting to behind-the-meter power. And just, you know, is that a bucket of opportunities that you're chasing? I mean, kind of, obviously, it is. But, you know, just how you think about the possibility of some of those switching to your solution, for instance.
Bill Zartler: Well, I think some of them clearly will. I think some of the announcements have already pointed that direction out there. I mean, we're not heavily weighted ERCOT right now. And so we'll address those, and there's clearly pipeline opportunities that are in ERCOT. So I think, you know, each location is a little bit different. Each system operator has a little different set of characteristics, and each customer has a little different set of characteristics. And so as we match up what we do as a power of the service and match that with our customers' needs, I think we want to make sure there's a good fit there. And it is a, I think it's a, there's a lot of noise and a lot of talk, and there's sometimes maybe the same particular load maybe talked about four or five times, and it's only one particular person that ends up doing it. And so I think we're very careful and selective of how we weed our way through a market that does have a lot of talk and hype around it, and make sure that we're at the right level at the right place, you know, with the right service.
Thomas Merrick: And then last one for me, and I'll turn it back. Just on emissions, you talked about it a couple of times so far on the call. Just how are you helping customers with EPA Clean Air Act permits, you know, specifically, you know, whether it's through your technology that you have with Solar, you know, given the NOx emissions rates there. Or, you know, logistically, just kind of navigating, you know, the requirements. Are you helping out in any way there? And that's it?
Bill Zartler: Yeah. And as every customer is different, we will roll up our sleeves and generally, you bring in a specialist environmental consultant to help you with those applications kind of industry-wide. And so we'll work with the customer providing the engineering and the design work of what we're delivering and help that feed into the permit that they're generally responsible for, but we're there in a support role. In ensuring that all everything is accurate and tied together for the whole units.
Operator: And our next question will come from Sean Mitchell with Daniel Energy Partners. Please go ahead.
Sean Mitchell: Thank you, and congrats on the deal. I think you guys, Bill, are just working with turbines today. Will you guys ever consider moving into some of the larger gas resips to support your behind-the-meter solution, or are you going to stick with just turbines?
Bill Zartler: Yeah. And remember, we operate a fleet of about 30 megawatts of small generation today in resiption and, you know, from a starting motor, I think we probably have another eight to ten megawatts of starting motors in the 500 to 750 megawatt size. And I think we'll continue to see that. We're studying hard how you pair these up with various low profiles and various environments. You know, altitude matters, temperature matters, and, you know, each have a good fit in the marketplace. And right now, our focus has been on the more dense power solutions with a lot of it. But I think there will be opportunities where you may look at how we maybe combine turbines with large resips, or maybe there's jobs that we want to look at that may be more suited for a bank of gas-fired resips.
Sean Mitchell: Got it. And then maybe one more for me. Just as you're, as we've heard a lot about how fast you've grown here. Is it going to take some time to absorb the kind of current order? Are you going to be out kind of, or digest the current order, are you going to be actively pursuing similar deals for 2027 and beyond? Or kind of how should we think about that?
Bill Zartler: I mean, we are, the thing is, this is spread out in a horizon that if we look at this, we are very confident that we can have all the rest of the balance of plant tied up, and we can ensure that we've got the right engineering and operation staff to actually run this equipment in the configurations that we're looking for. So one of the benefits of having larger installations is, of course, the megawatt per operator goes down if you will because you're having a set of operators on at one particular site versus them running around to, you know, twenty different sites. So there's a lot of value in that for us going forward, but there are opportunities to do things beyond this, and I think we, you know, as we find and manage each constraint, we're going to find opportunities to continue to grow and maybe, you know, beyond what we have today, with similar kind of, like I said, tenor and economics.
Sean Mitchell: Got it. Thanks for taking my questions. Congrats again.
Operator: The next question will come from David Smith with Pickering Energy Partners.
David Smith: Hey, good morning. Thank you for taking my question. So I'll reiterate the congratulations on the new orders and that stunning success of your move into power. Lots of good questions asked already. I just had a quick one to help calibrate our model. Apologies if you gave these details and I missed it, but wanted to make sure I understood the improvement of guidance for Q1 deployments. And SPS. So last quarter, I think the expectation was for an average of 300 megawatts deployed in Q1. Now it's 360. Could you indicate how much of that increase relates to accelerated deliveries versus leasing third-party equipment?
Kyle Ramachandran: It's a mix of both. So we were able to pick up some earlier deliveries on some of the one S and T one thirties at the end of 2024. And so we've been able to get those out to the customer, which has driven an increase in Q1 activity. And correct, we have picked up some third-party equipment from folks that, you know, have available generation, but not necessarily the contracts or the business model in place to support, you know, the operations that we're providing on a, you know, again, the power as a service model. So we have opportunities to be able to pull forward, ultimate demand. That's long-term demand for us. By bringing in some third-party units, which will ultimately be replaced with our own units, which obviously will have incremental economics for us.
David Smith: Great. Thank you very much.
Operator: Our next question will come from Don Kreiss with Johnson Rice. Please go ahead.
Don Kreiss: One question for me. Almost everything's been asked already, but you know, we hear from a lot of different companies that are providing turbines to the market that if you place an order today, it'd be about 36 months for delivery. Was there something that y'all had a relationship or something of that nature that allowed you to get the new order kind of quicker than that? And if you placed another order today, would it be closer to that 36-month level?
Kyle Ramachandran: I think the word that we've used is bold. We have moved forward efficiently, quickly. You know, we've got a culture of decision-making that allows us to be in a position to make decisions efficiently. And so all the orders that we placed, they've not been protracted opportunities. They're available, and we've got to be bold and knowing the visibility that we have from a demand standpoint. So it's a combination of, you know, the decision-making approach as well as visibility into the market, and what we've got from feedback from customers. So I think, you know, when people talk about 36-month lead times, I think those are probably larger turbines in nature, the sort of frame engines that you might see in a large combined cycle plant. But when we look at, as you look at the sizing of turbines, there's sort of a correlation between lead time and size. So the larger units, and I'm talking multiple hundred megawatt units, they have more likely a three to four-year kind of lead time. And as we look at the spot that we're in today, it's more of a 12 to 18-month time frame.
Bill Zartler: And, Don, you got to ask those questions. That's the CCC business. It's starting to feel very lonely. It's having a fantastic quarter.
Kyle Ramachandran: I'm sure.
Don Kreiss: One final question. You know, the 32% that you highlight that is uncontracted today, but you're in negotiations on that. Would you expect that to be contracted under a certain time frame, maybe the next, you know, six to nine months or so? Or do you think it's going to take longer than that?
Bill Zartler: Oh, I think it's going to happen well within six to nine months.
Don Kreiss: Okay. I appreciate everything else has been asked.
Operator: With no further questions, this concludes our question and answer session. I would like to turn the conference back over to Mr. Bill Zartler for any closing remarks.
Bill Zartler: Thank you, Wyatt. Thank you everyone for joining us today. We're obviously off to a strong start in 2025, and our entire team is excited about the growth opportunities for the company. I believe we have the right business with the right people and culture that will help us continue to deliver value to our shareholders. I'd like to thank all of our employees, customers, and suppliers for their continued partnership in making Solaris a success. Thank you all, and we look forward to sharing our progress with you in a few months.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.